Operator: Greetings and welcome to Balchem’s Fourth Quarter Year-End 2022 Earnings Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded.  I would now like to turn the call over to Martin Bengtsson, Chief Financial Officer. Thank you. you may begin. 
Martin Bengtsson : Thank you, and good morning everyone. Thank you for joining our conference call this morning to discuss the results of Balchem Corporation for the quarter ending December 31, 2022. My name's Martin Bengtsson, Chief Financial Officer and hosting this call with me is Ted Harris, our Chairman, President and CEO. Following the advice of our counsel, auditors and the SEC, at this time I would like to read our forward-looking statement. Statements made in today’s call that are not historical facts are considered forward-looking statements. We can give no assurance that the expectations reflected in forward-looking statements will prove correct and various factors could cause results to differ materially from our expectations, including risks and factors identified in Balchem’s most recent Form 10-K, 10-Q and 8-K reports. The company assumes no obligation to update these forward-looking statements. Today’s call and commentary include non-GAAP financial measures. Please refer to their reconciliation in our earnings release for further details. I will now turn the call over to Ted Harris, our Chairman, President and CEO. 
Ted Harris : Thanks, Martin. Good morning, and welcome to our conference call. Before we get into the quarter, I would like to reflect for a few minutes on some of the significant accomplishments the Balchem achieved over the last year. Overall, 2022 was another strong year for Balchem. Financially, we achieved record sales of $942 million, growing almost 18% year-over-year with record sales in all three of our business segments. We also delivered record adjusted net earnings of $131 million, an increase of 12%, and record adjusted EBITDA of $216 million, an increase of 14% from the prior year.  In addition, we generated free cash flow of $89 million while at the same time investing $49 million in capital projects to support our continued growth. Strategically, we had a very good year as well. In 2022, we strengthened our company with the acquisitions of Kappa Bioscience and Bergstrom Nutrition. The addition of vitamin K2 and methylsulfonylmethane or MSM to our product portfolio will undoubtedly enhance our ability to provide innovative solutions for the health and nutritional needs of the world going forward. We continue to innovate, bring new products to market and expand and strengthen the supporting science behind many of our products. We are pleased that our new product development metric that measures the percent of sales coming from products commercialized over the last five years, and which really measures the vitality of our product portfolio once again was close to 28%, showing that we are indeed bringing new innovation to the market. A number of exciting new studies supporting the supplementation of choline minerals including MSM and vitamin K2 were published or completed in 2022 that augment existing science and bring new science to light, that ultimately will support and strengthen our efforts to drive increased market penetration of these important nutrients. For example, while we have long known that higher levels of maternal choline intake are critical for infant cognition, a study published early in 2022 by Cornell University that suggested higher maternal choline intake has an enduring effect on cognitive performance through early childhood was truly groundbreaking.  Additionally, Cornell also published a separate study in 2022 that showed the importance of having adequate levels of choline for DHA absorption or status. And while not published yet, the study at the University of North Carolina to identify a choline biomarker was completed. So hopefully, we see the results of this study being published here in 2023. This will be an important step in helping to identify choline deficiency and the need for supplementation in individuals. Several important studies were published or initiated in 2022, enhancing the science around vitamin K2 and MSM as well. In December, the Journal of Dietary Supplements published a study conducted at the University of Arkansas for Medical Sciences that provides compelling evidence that Opti MSM, our branded MSM serves as a metal donor which means MSM would then join the club of metal donors, choline, folate and vitamin B12. So Opti MSM is both a sulfur and a methyl donor, which makes it even more nutritionally efficient and was evident before this study. There were also several studies published or initiated related to vitamin K2 that go beyond the already established therapeutic area of bone health. These studies focused on vitamin K2's role in cardiovascular health, immune health, and muscle recovery among others. We believe the science around vitamin K2 will continue to grow and help to drive significant market expansion over the coming years, as more and more studies are completed. Similarly, on the Animal Nutrition & Health side of our business, we continue to invest in outside research to advance the science around our portfolio of nutrients for companion, production and dairy animals. One study of note was published in May showing the effects of dietary, human protected, choline supplementation when colostrum yields quality and choline metabolites from dairy cattle. This was research done with ReaShure power flagship branded women protected choline at Michigan State University. The research demonstrated an 80% increase in colostrum yield in ReaShure supplementing cows without any decrease in colostrum quality. It also demonstrated a large increase in choline metabolites in the colostrum that would then be transferred to the newborn calf as it consumes her colostrum.  Another ReaShure study conducted at the University of Florida and published in December in the Journal of Dairy Science show the effects of maternal choline supplementation on performance and immunity of Progyny from birth to weaning. The research demonstrated that calves born to ReaShure supplemented cows had improved health status and survival and increased growth through two years of age. Within our companion animal business, there were several studies published from Auburn University related to our innovative use of microencapsulation for our structure forming line of products. The research demonstrated a cost-effective method for manufacturing nutritious pet products for greater sustainability by upcycling protein co-products with the use of our microencapsulated calcium lactate with sodium alginate.  These published studies combined with the Pitcher Assigilance Research from Kansas State University that was published in 2021, which demonstrated the value-added benefits of microencapsulated acids to control pathogenic salmonella and fresh meat pet foods form the foundation of our very successful customer attended Pitcher Imaginarium that took place in November at Auburn University with the Starkey Research Laboratory. Overall, we are very excited about the opportunities that exist with our portfolio of products, and we believe that, as the library of science keeps growing, the market opportunities for our unique portfolio of products and technologies will grow as well. Additionally, we made important and significant new investments in plant and equipment in 2022, resulting in capacity additions for our Human Nutrition, Animal Nutrition and plant nutrition businesses. A particular note for the addition of European manufacturing capabilities for our human encapsulation product line as well as our plant nutrition products, which should enable accelerated growth in the region. All of these new investments will help support our continued organic growth as we further penetrate the markets with our product offerings. We also made significant progress in 2022 relating to the company's efforts to advance our environmental, social and governance or ESG initiatives. Balchem released its fourth Sustainability Report in 2022, in which we provided an update on our progress toward our 2030 goals to reduce both greenhouse gas emissions and water usage by 25%. And I am happy to report that, we are well on our way to delivering on our goals.  The report details many of the ways we are advancing our environmental, social and governance initiatives across the organization, in alignment with widely accepted ESG reporting frameworks. Balchem's sustainability efforts are fully integrated into our business strategy, which remains unchanged, as we continue to focus on our two main objectives, providing innovative solutions for the health and nutritional needs of the world and operating with excellence, as strong stewards of our stakeholders. As a result of our efforts, Balchem was once again recently named one of America's most responsible companies by Newsweek Magazine for the third consecutive year. And lastly, in December, we announced another increase to our annual dividend, taking the dividend from $0.64 to $0.71 per share, an 11% increase year-over-year. This most recent increase marked the 14th consecutive year of double-digit growth of our dividend, which once again reinforced our commitment to our longstanding dividend strategy. All-in-all, another strong year both financially and strategically for Balchem. 2022 was once again a year of unprecedented external market challenges, where the pandemic impact we experienced in 2020 and 2021 was followed by the war in Ukraine, significant supply chain disruptions and rapidly accelerating inflation. The Balchem team was able to step-up and deliver strong results both financially and strategically, under these challenging conditions, once again proving the strength of our team and the resilience of our business models. I would like to take this opportunity to thank all of our employees and broad group of stakeholders, who supported us and contributed to our success throughout the year. Thank you all. Now regarding the fourth quarter of 2022. This morning we reported solid fourth quarter results. Our revenue of $233 million was up 9% and our adjusted earnings from operations were $43 million up 13% versus the prior year quarter. Our net income of $21 million a decrease of 14% resulted in earnings per share of $0.66 on a GAAP basis. On an adjusted basis, our fourth quarter non-GAAP net earnings were $30 million, an increase of 9%, resulting in earnings per share of $0.94 on a non-GAAP basis. And we continued to deliver solid cash flows. Cash flows from operations were $42 million for the fourth quarter and quarterly free cash flow of $28 million. I'm now going to turn the call back over to Martin to go through the fourth quarter consolidated financial results for the company and the results for each of our business segments.
Martin Bengtsson: Thank you, Ted. As Ted mentioned, overall, the fourth quarter was another solid quarter for Balchem. Our fourth quarter net sales of $233 million were 9.1% higher than the prior year, and we delivered sales growth in our Human Nutrition health and specialty product segments, while sales in the Animal Nutrition and health segment were essentially flat. Foreign currency exchange driven primarily by the weaker Euro, had a negative impact to our sales growth of 1.7%.  Our fourth quarter gross margin dollars of $69 million were up $5 million or 7.1% compared to the prior year. A gross margin percent was 29.5% of sales in the quarter, down 54 basis point compared to 30.1% in the fourth quarter of 2021. We continue to experience input cost inflation in the fourth quarter compared to prior year. As we've discussed on previous calls, we're pleased with our efforts to recover these cost increases through pricing actions, but the grossing up of revenues and costs have a dilutive impact on the gross margin percentage, despite the fact that we continue to grow our gross margin dollars.  Consolidated operating expenses for the fourth quarter were $35 million as compared to $30 million in the prior year. The increase was primarily due to incremental expenses and amortization from the Kappa and Bergstrom acquisitions. GAAP Earnings from operations for the fourth quarter were $33 million, a decrease of 1.5% compared to the prior year quarter. On an adjusted basis, as detailed in our earnings released this morning, non-GAAP earnings from operations of $43 million were up $5 million or 13.2% compared to the prior year quarter.  Adjusted EBITDA of $52 million was $7 million or 14.6% above the fourth quarter of 2021. Interest expense was $5 million, and our net debt was $374 million with an overall leverage ratio on a net debt basis of 1.7. The effective tax rates for the fourth quarters of 2022 and 2021 were 17% and 24.7% respectively. The decrease in the effective tax rate from the prior year was primarily due to favorable provisions to return adjustments, favorable FIN 48 reserve adjustments, and higher tax benefits from stock-based compensation.  Consolidated net income close to quarter at $21 million, down 14.2% from the prior year, driven primarily by the higher interest expense and negative impact from amortization related to the recent acquisitions. This quarterly net income translated into diluted net earnings per share of $0.66, a decrease of $0.10 or 13.3% from last year's comparable quarter. On an adjusted basis, our fourth quarter adjusted net earnings were $30 million, translating to $0.94 per diluted share, an increase of 10.1% compared with the prior year quarter.  Cash flows from operations for the fourth quarter were $42 million, and we closed out the quarter with $67 million of cash on the balance sheet. As we look at it from a segment perspective, for the fourth quarter, our Human nutrition and health segment generated sales of $130 million, an increase of 12.9% from the prior year. The increase was driven both by the contribution from recent acquisitions, as well as sales growth within food-and-beverage markets and higher sales within the minerals and nutrients business.  Our human attrition and health segment delivered quarterly earnings from operations of $18 million, an increase of 0.1% compared to prior year. Higher sales and higher average selling prices were offset by the timing of an insurance reimbursement related to a flash flood event in the prior year. Higher manufacturing input costs and higher amortization and operating expenses related to the recent acquisitions.  Fourth quarter adjusted earnings from operations for this segment were $24 million, an increase of 11%. As mentioned in our last earnings call, we are experiencing increased demand volatility across our Human nutrition and health segment. In particular, we're experiencing market demand softness in the dietary supplements market, which we see as a relatively short-term impact on a market that has historically grown at mid-single digits.  This market softness is being driven both by a normalization of demand, following the very strong demand experience during the pandemic given the immunity-boosting nature of many supplements, and a clear destocking of inventory across the value chain, as supply chain disruptions have dissipated post the pandemic, and customers adjust their inventories down to more normal levels.  Recent U.S. retail sales data provided by Nielsen for dietary supplements show negative double-digit growth year-over-year. Although, sales levels remain above the pre-pandemic period. We will likely face this transitionary short-term demand softness through Q1 and into Q2, as the situation normalizes over the course of the year, and the supplements market returns to growth in line with its historical growth trajectory.  Our Animal Nutrition and health segment generated quarterly sales of $65 million, a decrease of 0.3% compared to the prior year. The decrease in sales was the result of lower sales into the monogastric market, and an unfavorable impact related to changes in foreign currency exchange rates, partially offset by higher sales into the ruminant market. Pricing actions and the contribution from the acquisition of Bergstrom, which included a small Animal Nutrition business. On a constant currency basis, the Animal Nutrition and health segment grew 3.1%. Animal Nutrition and health delivered earnings from operations of $9 million, a decrease of 10% from the prior year quarter, primarily due to the timing of an insurance reimbursement related to a flash flood event in the prior year.  Increases in manufacturing input costs and higher operating expenses related to the recent acquisitions, partially offset by the aforementioned higher sales into the ruminant market, pricing actions and the contribution from the acquisition of Bergstrom.  Fourth quarter adjusted earnings from operations for this segment were $10 million, an increase of 16.5%. Similar to what we're experiencing in Human Nutrition and health, our Animal Nutrition and health segment is also experiencing increased demand volatility, particularly in Europe.  The European food animal feed market has been hit hard by a combination of factors including the spread of animal diseases, higher utility costs, increasing cost linked to environmental and animal welfare policy measures, and the economic impact of the war in Ukraine.  This has resulted in lower feed demand in our key markets, poultry, swine, and dairy across much of Europe. Lower utility costs and ultimately the containment of animal diseases within Europe should allow for improved market conditions and a normalizing of demand as 2023 progresses.  Our specialty product segment delivered quarterly sales of $32 million, an increase of 16.2% compared to the prior year quarter. Due to higher sales of products in the performance gases business and higher Plant Nutrition sales partially offset by an unfavorable impact related to changes in foreign currency exchange rates.  Specialty products delivered earnings from operations of $8 million, an increase of 20.4% versus the prior year quarter. The increase was primarily due to the aforementioned higher sales. Fourth quarter adjusted earnings from operations for this segment were $9 million, an increase of 19.6%.  Within specialty products, we continue to see recovery in our performance gases business in both the U.S. and in Europe, following the negative impact we experienced during the COVID-19 pandemic. We're still slightly below pre-pandemic volumes, but the business has further stabilized and we are well positioned to drive growth in 2023.  I'm now going to turn the call back over to Ted for some closing remarks. 
Ted Harris : Thanks, Martin. We are pleased with the Balchem’s financial results reported earlier this morning for the fourth quarter of 2022, capping off another great year for Balchem, a year in which we delivered strong growth in both sales and earnings while managing through a challenging environment. We also continue to progress our strategic growth initiatives and remain encouraged about the long-term growth opportunities ahead of us, despite shorter-term challenges. Our results show that we continue to evolve and strengthen our company and position ourselves in attractive markets where we have capabilities to be successful not only today, but also into the future.  I would like to once again take this opportunity to thank all of the Balchem employees across the world who helped to make it happen every day. Thank you so much. I will now hand the call back over to Martin, who will open up the call for questions. Martin?
Martin Bengtsson: Thank you, Ted. This now concludes the formal portion of the conference. At this point, we will open up the conference call for questions.
Operator: Thank you. [Operator Instructions]. Our first questions come from the line of Bob Labick with CJS Securities. Please proceed with your question.
Lee Jagoda: Hi. Good morning. It's actually Lee Jagoda for Bob. Just a couple of questions. First to start, I know you made some comments about a little bit of demand softness related to the sell through in the first half of 2023. Can you talk to what the channel inventory situation looks like versus that core demand and when we expect things to become normalized?
Ted Harris: Sure, Lee. Thanks for stepping in for Bob. Good to talk to you. So, Martin in the prepared comments talked to really about the slowing of demand that we have seen in two particular areas, one being the dietary supplements market, particularly obviously in the Human Nutrition & Health business. And then secondly, the European feed market demand slowing that's impacting Animal Nutrition & Health. So, let's talk about both of those separately. We saw as Q4 evolve that, after a relatively strong start to the quarter that, weakening demand progressed throughout the quarter, which ultimately, we were pleased to see. We delivered organic growth in the quarter, but it was fairly modest at low single digits, but that really came from a stronger growth in the early part of the quarter, offset by a negative growth in the latter part of the quarter.  And we see that continuing for the dietary supplements portion of our Human Nutrition & Health business in Q1 of 2023 and correcting itself in the early part of Q2. So, we see, the second half of 2023 as being certainly stronger than the first half. And in many ways, it's a little bit of a reverse of what we saw in 2022, where we saw an incredibly strong first half offset by slower demand in the second half.  So that's our perspective there. We do have more visibility into retail sales demand in that channel as well as customer inventory. So, feel as though, our view into that market evolution is relatively good at this point. The Animal Nutrition market in Europe is a little bit more difficult for us to really forecast. We have seen slow demand, I would say, really through the second half of 2022, which we see continuing in the first quarter of 2023. We do see some positive signs. Obviously, energy costs have come down from their peaks. They are still very high, relative to historical levels, but they have come down from their peaks and that's starting to ease some of at least the cost pressure on the market. And so, we see some positivity coming out of that.  So, we believe that Q1 will continue to be soft, but as that positivity of the lower utility costs and energy costs starts to result in replacement of animals, we will see that business start to pick up in Q2, and as 2023 evolves.  So hopefully that gives you a little bit of a feel for those two specific markets, which is really the area that Martin highlighted in his prepared remarks. 
Lee Jagoda: Yes. That's very helpful. Just one more, and I'll hop back in the queue. It sounds like you've done a pretty good job working with your customers to sort of raise prices on a dollar-for-dollar basis to cover your costs, but ultimately at the expense of your gross margin percentage. Where are we related to the price cost balance, and how should we think about when certain raws start going back down? Are your customers going to be willing to work with you to kind of get back some of the gross margin percentage as we come out of the inflationary environment that we've been in?
Ted Harris: So yes, maybe I'll take a first stab at that. Martin can chime in to add any color, that's needed. First of all, we are really pleased with our ability to raise prices. That's been a major focus for us for well over a year. And I think, that's really it just shows the strength of our market positions that we've been able to buy and large offset the cost increases dollar-for-dollar at the expense, as you pointed out as our margin.  Historically, we have seen an unfavourable margin lag as costs increase and we raise prices. And historically, we've seen a favourable margin lag if you will, as costs decrease. And there's no reason to expect that won't happen.  We have certainly part of our customer base that is particularly in the Animal Nutrition world is based on contractual situations that have passed through raw material costs. And so, we have a built-in negative lag when costs are going up, but we also have a built-in positive lag when costs are coming down. So, we do believe that we will see that as we've seen it in the past, and are very focused as a company on recapturing that margin.  We're again pleased that we've been able to raise prices as we have, and gross margin dollars have increased. But an important part of kind of economic profile, if you will, is our margin profile. And so, we're determined to take what whatever steps we need to in order to gradually recover that margin to its historical levels. 
Martin Bengtsson: And Lee, if I just add a comment or two, I would say, the dollar per-dollar pass-through has a -- I mean, has a significant impact on that margin percentage for Q4. For example, it was approximately a 1.5% margin impact just from that dollar-per-dollar pass-through looking on a full-year basis, it's over three, four percentage points in that pass-through math. And for us to see the margins go back to where we want them to be, and where we expect them to be, you do need to see some easing in the inflationary pressure, which hopefully we'll see soon.  You're starting to see it, and you're experiencing already on the chemical side where we're seeing costs coming down sequentially, but you're actually still seeing sequentially inflation on the food commodity side. So, net, net overall for our portfolio, if we look at it sequentially kind of Q4 versus a Q3 there's no easing yet in terms of the cost picture.  And obviously, on a year-over-year basis still significantly up. But the food commodities tend to lag sort of to the chemicals with some delays. So, the fact that the chemicals are coming down should hopefully, mean that the food commodities will also over a period of time here start easing off, and that will help our margins for sure. 
Lee Jagoda: Appreciate all the colour. I’ll hop back in the queue. 
Operator: Our next question is coming from the line of Ram Selvaraju with H.C. Wainwright. Please proceed with your questions.
Ram Selvaraju: Thanks so much for taking my questions. Just a couple for you, Ted. Could you comment on VitaCholine’s positioning versus other choline based products in the market? And what you think is most likely to drive growth of this brand, particularly in light of the recent Cornell study findings?  And secondly, could you give us a sense of what you think long-term directionality is and growth prospects are for the specialty products business, given the growth you saw in the most recently reported period? And then I just had one quick one for Martin. Given the lower than historical effective tax rate in the fourth quarter, is this the most likely appropriate baseline to use going forward? Or should we expect a reversion to what the historical effective tax rate has been? Thank you.
Ted Harris : Well, thanks for the questions, Rom. We'll try to remember all three of those. VitaCholine positioning, there's no question that VitaCholine, which -- for those of you who don't know, is our branded Choline product that goes into the Human Nutrition market. And there's no question it is the leading brand globally both from a market share perspective as well as technology perspective.  And it's less based on the physical attributes of the product itself and more based on the fact that we have multiple production facilities, one in Europe, one in the U.S. and the global position in this product. But really most importantly, just from a science based perspective, the studies that we have done with our branded product those Cornell studies were done with VitaCholine  And really all of the studies that we've talked about over the years have been done with our VitaCholine. And so when we approach our customers, when we approach the market, we're clearly viewed as the technology leader, the science leader and the kind of the innovator, if you will -- of the product.  So we feel really good about the positioning of that brand and believe that as our customers innovate with Choline, include Choline and various new product launches, that they will choose to do that with our clear market leading brand. And you do find that many of those commercialized products will include our brand on their label, and we're very proud of that. And I think that speaks to the value that our brand brings. Relative to the long-term direction, the growth of specialty price, we really were very pleased with the fourth quarter and it was a combination of both healthy growth in our performance gases business as well as our plant nutrition business. So overall it was a good quarter for specialty products. And we really see that continuing certainly through the year. We feel that long term, the performance gases business, as we've said for years is a low-single digit type of growth business.  But we've been in this time of recovery, this was one of the businesses that was hurt during the pandemic, a little bit of the opposite of the dietary supplement market that was benefited during the pandemic. And we're seeing a little bit of a slowing as demand normalizes post pandemic similar here. This was hurt during the -- but opposite, this was hurt during the pandemic. And we're seeing a bounce in growth back to kind of pre pandemic type levels where we -- and we'll think we'll get there in 2023.  So we see in that business, a combination of continued volume growth, a little bit higher than historical levels, plus growth from pricing that has been a result of all of the inflation of those products that we repackage and sell to the market. So we see healthy growth in performance gases, and we're encouraged by the recent growth in plant nutrition that we delivered in Q4, and we believe that Plant Nutrition will have a very good year in 2023, fueled a bit by the new assets that we have put in place Europe.  We are excited about that in Q4 with those assets. Our growth in Europe was particularly strong. So we do feel like we have made an investment in assets that will help to facilitate growth there. But our Plant Nutrition business should be a double-digit type of growth business, given the relatively small global market position, the efficacy of our products and the brand that we have. And so, we really do feel like, we should be able to grow that business at double-digits and deliver an all-around strong year for Specialty Products. I guess the other point to note is that, we have yet to really see it play out. we are encouraged with all the rain that California has gotten over the year. We hope it ends up not being too much rain for the planting season. But I think generally the Ag parameter is favorable at this point in time in the western part of the U.S. And so that should also create a bit of a tailwind for that business. So I'll hand it over to Martin for the tax question.
Martin Bengtsson: Yes. Ram, on the tax rate, I think right planning rate is closer to 23% as opposed to the 21% that we achieved in 2022. I mean, our rates fluctuate a little bit. We were at that 23% range, if you go back here in 2021 and we were able to drive some unique items here in the year and they are hard to predict and hard to forecast. And if we look at it today, I think we will be close to the '23 than the '21. So not a new baseline from my perspective.
Operator: Thank you. Our next question has come from the line of Mitra Ramgopal with Sidoti. Please proceed with your question.
Mitra Ramgopal: Yes, thanks. Good morning and thanks for taking the questions. First, I might have missed if you mentioned it in terms of the revenue growth you saw, how much of it was volume driven versus price?
Martin Bengtsson: Yes. The growth has been primarily price driven, more than volume driven. So primarily price.
Mitra Ramgopal: Okay. Thanks.
Martin Bengtsson: And I will say, Mitra, just to add a little bit of color to that, I think that's clear in Q4. And just to go back to my earlier comment around kind of a year of two halves. In the first half of the year, it was primarily volume driven, that subsided somewhat in the second half and became mostly price driven as we raise prices and started recovering those costs from inflation. So overall, we saw volume growth in the year, but certainly, the second half of the year was more priced.
Mitra Ramgopal: Okay. Thanks. And looking at the Bergstrom and Kappa acquisitions, I know it's still early days. But in terms of your expectations for 2023 and being able to realize costs and even revenue synergies to drive growth going forward? If you can maybe help us in terms of how you are thinking about those acquisitions in '23?
Martin Bengtsson: Yes, maybe I'll take a stab at that and Martin, you can chime in for any additional color. So we are two quarters into the Kappa acquisition and let's say a quarter into the Bergstrom acquisition. And overall, we are pleased with how the integration processes are going. Essentially, both companies have been integrated from a commercial perspective. So we have our sales organization, their sales organization combined in a single organizational structure, and the cross training efforts are well underway, to some extent done in some areas. So feel good about the coming together of the organizations. We have also fully integrated the functional organizations as well, and feel like that's going very well and also pleased that both companies are already on our ERP platform Microsoft Dynamics, 365.  So, we feel like we've moved very, very quickly. So overall, we feel really good about the integration of the organization. And I think to your specific point, we are starting to see some of those very early signs of kind of synergies associated with the combination of the organization from both a cost perspective, but maybe more importantly from a sales and growth perspective.  We have sales reps now calling on customers, talking about the broad product line, and we're seeing a lot more call reports coming in that have identified opportunities outside of the portfolio that person historically may have had. So I'm encouraged by the progress that we've made relative to the integration of the companies, and we are starting to see some signs of those sales synergies, and we have realized some of the costs that we’re expecting.  So, very pleased with that. Continue to feel very good about the long-term potential of the two products, MSM and K2. We feel like there's significant market penetration opportunity available to us as we thought going in. So, remain very excited about that. Obviously, the short-term slowing of and destocking that's going on within the dietary supplement market is impacting those businesses. They're not immune to that situation. So we are seeing some slower demand than we ideally would like as we are seeing across the nutritional portfolio. But all in all feel really good about the integration and the opportunity ahead. 
Mitra Ramgopal: Okay, thanks. And then, just to be clear the customer destocking, you see it as a temporary issue, it seems like inflationary pressures are starting to ease, so at least for the first half it'll continue to be challenging, but heading into second half and looking out the ‘24, you feel much more comfortable in terms of where things are headed? 
Ted Harris: Yes. Absolutely, we're watching the Nielsen retail data very closely, and so feel like we've got a good feel for the brick-and-mortar sales out there. And sales continue despite the negative growth that was seen for the last few months. Sales continue to be higher than pre pandemic levels. So I think that's very encouraging that certainly some of the bounce that we saw with the pandemic, because of the immunity boosting nature of many of these nutrients. The growth is still there relative to pre pandemic levels, which is great. It's just not at the peak level that we once saw.  So we think that's encouraging. The anecdotal evidence that we have from all of the discussions that we have with customers suggest that the destocking will start to slow I think really in the earlier part of Q2. And so your comment was specific around -- we should see things at back to a normal type of growth level in the second half. We absolutely believe that based on everything that we're seeing today, and we feel like Q2 will be that transitional quarter, if you will to the more normalized demand levels that we expect. 
Mitra Ramgopal: Okay, thanks. And then, Martin, just a couple of housekeeping questions. How should we think about interest expense going forward and also CapEx for ‘23? 
Martin Bengtsson: Yes. On the interest expense side, we're currently sort of paying an effective rate of around 6% based on where the Fed's at the moment. So that means, $6 million of interest expense for every a $100 million of debt. And we currently have $440 million. So, if you do that math, you'll end up somewhere $26 million or so on an annualized basis. Obviously, as we generate cash, we tend to pay down debt and we intend to continue to continue to do so. But that's sort of the simple back of the napkin math you can do as you forecast out.  And the second part of the question around capital, we did see higher capital in 2022 versus what you were used to seeing. We spent $49 million in terms of expanding our capacities and also adding the acquisitions in there. And as we look for 2023, we think the range for CapEx will be between 40 million and 50 million depending a little bit on the spend. So that's kind of where we see the range for CapEx, we still are expanding our capacities surround Vitamin K2 and completing a new facility there, here in 2023, that will drive some incremental expense, but in the range of 40 million to 50 million is where I expect 2023 to come in. 
Mitra Ramgopal: Okay, its great. Thanks again for taking the questions. 
Operator: There are no further questions at this time. I would now like to turn the call back over to Chief Executive Officer, Ted Harris for closing remarks.
Ted Harris : Great, thanks Darrell. Once again, thank you all very much for joining the call today. We really are pleased with the results for the fourth quarter, particularly given the macroeconomic challenges we've been facing. And 2022 was another very strong year for Balchem and one in which we set new records financially, while continuing to make good progress strategically with the company. So, we really appreciate your support through the year as well as your time today. We look forward to reporting out Q1 2023 results in April. Thanks so much for joining. Take care. 
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.